Operator: Welcome to the Third Quarter 2012 Aimco Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Lisa Cohn, Executive Vice President and General Counsel. Please go ahead.
Lisa R. Cohn: Thank you, Amy. Good day. During this conference call, the forward-looking statements we make are based on management's judgment, including projections related to 2012 results. These statements are subject to certain risks and uncertainties, a description of which can be found in our SEC filings. Actual results may differ materially from what may be discussed today. Also, we will discuss certain non-GAAP financial measures, such as funds from operations. These are defined and are reconciled to the most comparable GAAP measures in the supplemental information that's part of the full earnings release published on Aimco's website. Participants on today's call will be Terry Considine, our Chairman and CEO, who will provide opening remarks; Keith Kimmel, EVP in Charge of Property Operations; and Ernie Freedman, our CFO. Also in the room today are John Bezzant, EVP of Transactions; Miles Cortez, our EVP and Chief Administrative Officer; Dan Matula, EVP of Redevelopment and Construction Services. They are available to answer questions at the conclusion of our prepared remarks. I will now turn the call over to Terry Considine. Terry?
Terry Considine: Thank you, Lisa, and good morning to all of you on this call. Thank you for your interest in Aimco. The apartment business is good. The economy continues to mend, boosted by low natural gas prices and the early stages of a housing recovery. Better economy plus strong demographics equals solid demand for rental apartments. We expect favorable conditions for the next several years. New supply is increasing in some markets and may well slow down rent growth at the highest price points. This impact in our BB+ portfolio should be muted. Buoyed by favorable macro conditions, Aimco is on track to execute its plans for this year. Operating team led by Keith Kimmel has done a good job in customer satisfaction, measured by a high percentage of lease renewals and a steady increase in renewal rents. The earn in of 2012 leasing provides a solid foundation for rent growth next year. Keith's team has been superb in their cost discipline. Operating costs, that is before taxes and insurance, are actually down year-over-year. Our portfolio gets better and better. Average revenue per apartment home is more than $1,300, up 8% year-over-year. John Bezzant and his team continues selling lower-rated properties and investing the proceeds in property upgrades, [indiscernible] redevelopment and a few attractive acquisitions. The business is simpler and more profitable. With better properties and better markets, with fewer properties held in partnerships and with higher margins because capital replacement spending is declining as a percent of higher price point NOI. Under Dan Matula construction is ramping up at all 10 properties identified for redevelopment starts this year. We expect these will add about $2 per share to net asset value when completed over the next 2 years or so. Our balance sheet is getting stronger under Ernie's careful watch. We enjoy ample liquidity. Leverage is down by $700 million year-to-date. We expect year-end leverage to fourth quarter EBITDA annualized to be about 7.7:1, down 20% year-over-year. We are on track to meet our target of 7:1 within the next 15 months or so. In sum, we feel good about 2012, and we're optimistic as we make our plans for next year. For more detail on third quarter operations, I'll turn the call to Keith Kimmel. Keith?
Keith M. Kimmel: Thanks, Terry. So far in 2012, the revenue growth has been accelerating. Each quarter's year-over-year revenue growth has been greater than the preceding quarter. In the third quarter, Conventional Same Store revenue was up 4.9% year-over-year, up 4.5% year to date and up 1.7% compared to the second quarter. Let me provide some additional color on revenue. Third quarter blended rates were up 4.8%, with new leases up 3.8% and renewals up 6% on a lease-to-lease basis. This sets us up well for this quarter and creates a book of business that will earn in over the next several quarters and well into 2013. As we finalize October, preliminary blended lease rates will be up between 2.5% and 3%, highlighted by our continued success with renewal rates up close to 5%. New lease rents flattened out, and we expect this to improve between 1% and 2% for the entire quarter, demonstrated by our second half of October building north of 1.5%. October's average daily occupancy was 95.3%, 10 basis points better than October 2011's result. We anticipate occupancy will improve for the balance of the year. November and December renewal offers went out at 5% to 7%. And turnover was 46.8% for the quarter compared to 45.5% for the second quarter. We continue to maintain our focus on customer retention, as we not only achieve higher rent increases on renewal rents, but also because it allows us to keep our costs down. The top 3 reasons for move outs in the third quarter were career moves and pricing, both at 22% and purchasing homes at 12%. The home purchase number represents a 2% decrease from the second quarter. While we've also been tracking move outs to home rental, it's thus far been negligible. We continue to be successful in replacing move outs with better qualified residents and higher rents. We had 8,300 move-ins during the third quarter, with an average income of $99,000. The median income, $65,000, the rent to income ratio of 20.7%. Third quarter Conventional Same Store property operating expenses were up 50 basis points year-over-year, led by decreases in payroll and offset by increases in technology and also taxes and insurance. The net result of this was year-over-year NOI growth of 7.4%. Let me provide some market performance details. 2/3 of our revenue comes from 10 markets. The top 3 performers had revenue increases from over 5%, nearly 10% on a year-over-year basis. This was led by the Bay Area, followed by Miami and Denver. Steady performance for the quarter with midrange growth of 4.5% to 5% were Orange County, Austin, Washington D.C., Chicago. Rounding out the top 10 markets was revenue growth between 3% and 3.5%, San Diego, Los Angeles and Philadelphia. As you're aware, Hurricane Sandy had an incredible impact on the East Coast of the United States earlier this week. I'm pleased to report that all the thousands of residents and team members in the impacted areas are safe from harm. I want to personally thank the men and women of our property operations and construction services teams for their tireless efforts in ensuring stellar customer service in the face of adversity. We're building upon the third quarter successes with a solid October, setting us up well for a strong finish in 2012 and beyond. With great thanks to our teams in the field for a strong quarter, I'll turn the call over to Ernie Freedman, our Chief Financial Officer. Ernie?
Ernest M. Freedman: Thanks, Keith. Today, I will focus on the following 4 topics: impact of Hurricane Sandy; portfolio and redevelopment activities; balance sheet activities and, finally, I will provide a guidance update. We are quite fortunate and thankful that Hurricane Sandy's impact on our residents and team members was no worse than a significant inconvenience. They are still determining the extent of the damage caused by the storm, costs associated with it will include cleanup expenditures and repairs. The rough estimate currently is $1 million to $2 million in costs, of which we anticipate more than half will be covered by insurance proceeds. As for the portfolio, during the quarter, we sold 22 properties with about 3,900 units, including 8 low-rated conventional properties at an average NOI cap rate of 5.9%. These properties had average revenue per unit of $795 compared to our portfolio today of $1,332. We also sold 14 affordable properties at an average NOI cap rate of 7.0%. For the year, the NOI cap rate for our sold properties is 6.5%. The properties sold are among our lowest-rated assets and disproportionately weighted to affordable properties, as we accelerate our exit from that business. Average revenue per unit of the properties sold was $762. Our average revenue per unit for our entire current portfolio is $1,300 per unit. The implied cap rate for our entire portfolio based on our current share price is about 6.6%, higher than what we are achieving on sales. As we reported on our second quarter earnings call, we acquired a property located in Downtown San Diego in July. We had no other acquisition activity during the quarter. For the year, properties acquired have average revenues per unit of $1,400 compared to $799 for properties we have sold year-to-date, helping to further our goal of increasing portfolio quality as measured by average revenue per unit. We reduced acquisition guidance slightly, as we expect now that certain limited partnership transaction closings will move into the first part of 2013. On the redevelopment front, as of today, construction is underway at 9 of the 10 projects we expected to begin this year. We plan to start the remaining projects, Sterling, in Center City, Philadelphia during the fourth quarter. In October we provided details around our Lincoln Place redevelopment. An earlier phase began last year, with the redevelopment of 4 buildings with 65 apartment homes. Work was completed earlier this year, and 50 of the apartment homes have been released to returning residents. Over the next 2 years, we will redevelop the remaining 41 buildings, including 631 now vacant apartment homes, together with common areas and landscaping. We will also construct on now vacant land 13 new buildings with 99 apartment homes, a leasing center and a fitness center and pool area. This is an important milestone for Aimco, and we are eager to return Lincoln Place to an income-producing asset. As to other notable redevelopment activities, the start of construction at Pacific Bay Vistas, our estimates for total project cost has increased approximately $12.4 million. The increase in anticipated cost is due to changes in scope to prevent moisture intrusion. Changes have delayed delivery of the property's residential buildings. The property's leasing center and community center have been completed. In September, we completed construction of an exclusive rooftop patio and lounge area and other amenity upgrades at The Palazzo located in West Los Angeles. Redevelopment of the property's 4 penthouse model units was completed in early October, and we have started the upgrade of the property's 115 penthouse units on turns. This activity will continue for the next couple of years. During the third quarter, we began construction at the Preserve at Marin in Corte Madera, California. We expect first occupancy in the second quarter of 2013, as stabilized rents are expected to average $3,880 per unit, not including interim market [indiscernible] growth. Including amounts spent to date, we expect to invest a total of $400 million over the next 2 to 3 years in the redevelopment of the 7 projects detailed in our supplemental schedules as well as 2 projects in Philadelphia and 1 in Seattle. Our anticipated investment in redevelopment for 2012 is now $100 million or about $35 million less than our previously provided guidance. The decrease provided us the opportunity to increase our investment in property upgrades by $20 million. Regarding the balance sheet, as we reported last quarter, we redeemed $300 million of preferred stock in July, contributing to the continued deleveraging of our balance sheet. Redemption was funded by our June common stock offering. Our debt and preferred equity to EBITDA coverage as of the third quarter is 8x. We anticipate that our year-end coverage will be approximately 7.7x. As a reminder, our target is 7x, which we expect to meet in the next 15 months or so through EBITDA growth and amortization of property debt from retained earnings. In addition to our target around leverage, we have a goal to create an unencumbered pool of assets to provide additional financial flexibility and safety to our balance sheet. We started this pool in the third quarter, using proceeds from our line of credit temporarily to pay off our maturing loan. We will repay our line draw with proceeds from other refinancing activity in the coming months. Lastly, with the closing of our Lincoln Place property loan, one of our larger 2013 property debt maturities was refinanced using [ph] $172 million of property debt coming due in 2013, representing approximately 4% of our outstanding debt. $27 million of this amount consists of 3 first quarter maturities. We expect to pay off 2 of these loans, increasing our unencumbered pool to approximately $160 million of gross asset value. Finally, as to guidance, we expect full year pro forma FFO of $1.79 to $1.85 per share and AFFO of $1.31 to $1.37 per share. Guidance assumes Conventional Same Store NOI growth of 6.5%, which is unchanged from the midpoint of the range we provided last quarter. We expect full year revenue to increase 4.6% when compared to 2011, which is 40 basis points lower than the midpoint we expected last quarter. The table on Page 6 of our earnings release shows how this revenue decrease has been offset by expense savings. Revenue is expected to decrease 40 basis points, due to both a decrease in previously projected tenant utility reimbursements, which are accounted for in other rental income and our expectation that occupancy will be lower in the second half of 2012 than previously expected. Expenses are expected to be lower 100 basis points due mainly to lower utility costs. These 2 variances offset, maintaining our guidance for NOI growth. Specific to expense performance year-to-date, as disclosed in Supplemental Schedule 6D, we have been successful in reducing our personnel cost by $5 million. As we've discussed previously, we fully implemented a new property management system in 2011, which automates certain tasks that were previously competed manually. Our savings in personnel is offset somewhat by the related increase in software and technology costs of $1.3 million, also noted on Schedule 6D. Our current FFO guidance assumes Affordable Same Store NOI growth of 4%, a 100 basis point improvement at the midpoint. So taken together, total same-store NOI growth is expected to be 6% which is unchanged at the midpoint. For the fourth, quarter pro forma FFO is projected to be $0.47 to $0.53 per share with year-over-year Conventional Same Store NOI growth projected to be 5% to 6%. Please note that our guidance does not include an estimate for the impact of Hurricane Sandy. Finally, we won't provide specific guidance for 2013 today, but we did want to provide some thoughts on revenue growth for next year. As noted on Page 2 of our earnings release, to the third quarter of 2012, our new and renewal leases are up 4.6% over expiring leases. For the full year 2012, we expect that the new and renewal leases will be up approximately 4% over expiring leases. This decrease from the year-to-date result is due to the typical seasonal slowdown in the fourth quarter. There are 4 drivers to revenue growth for 2013, one is 2012 leasing activity, which I just described. The second is leasing activity anticipated for 2013. Third parties and our own internal analyses at this time anticipate similar results in 2013 leasing activity to our 2012 results. The third and fourth drivers are occupancy changes and expectations around other income. We'll provide a specific range next quarter, but taking into account these 4 drivers, our view currently is that 2013 won't be too different to 2012 with regards to revenue growth for Aimco. With that, we will now open up the call for questions. [Operator Instructions] Operator, I'll turn it over to you. The first question, please.
Operator: [Operator Instructions] The first question comes from Rob Stevenson at Macquarie.
Robert Stevenson - Macquarie Research: Is -- where are you guys in terms of the NAPICO sale?
Ernest M. Freedman: Rob, this is Ernie. We continue to make good progress with the group who we'll be selling that to. And we -- just as we talked about at beginning the of the year, we anticipate that, that closing will occur prior to year end of 2012. We expect that to be a fourth quarter event, and we will announce it as soon as that's complete.
Robert Stevenson - Macquarie Research: Okay. And then you guys have had one of the lowest same-store expense growth rates of any of the apartment companies, and you talked about Schedule 6D in your comments. Can you talk a little bit about what's recurring going forward? And where you see the most upward pressure over the next few quarters? I mean, is the payroll and utility saving sustainable? And is the software and insurance likely to be more recurring?
Ernest M. Freedman: Sure. I'll take a crack at that, Rob. With regard to -- one, we don't want to get too far ahead of ourselves in terms of providing guidance around expenses for 2013. But as we look at our expenses, our largest stress will be around real estate taxes. Real estate taxes each quarter this year have increased over the prior quarter, and we still do expect for 2012 real estate taxes to come in around 6% increase year-over-year. And year-to-date, I believe we're about 4.4%. So we think as we look at 2013, by far, that will be our biggest stress item. Items around software should stabilize out, because we rolled out the system last year. And so I would not expect a significant increase nor a significant decrease. It should be about flat in terms of software and technology costs. And importantly on the personnel side, we continue to find ways to be innovative and find different ways to potentially look to keep those costs under control. So real estate tax is our biggest concern. Other cost items, we feel pretty good about. I would say on utilities is this year was a mild winter, and we had a milder summer in terms of electric usage in the summer. The utilities could be a little bit of a stress point for us next year, but we'll just need to see as we get closer to next quarter, and we provide guidance there as what could happen with utilities and overall how that impacts expenses.
Robert Stevenson - Macquarie Research: And payroll on the on-site payroll side, is this savings due to technology and software rollout? Or are you guys doing something different in terms of how you staff and manage and rotate people around near communities in order to save costs there?
Ernest M. Freedman: It's a combination of things. I'll let Keith give you a little bit of detail and just a few examples of where we've been able to have significant changes where things are being done more by the customer and there are more automated processes versus manual processes. Keith?
Keith M. Kimmel: Rob, a couple of the opportunities is that with -- electronic payments online has been a big change in how we've done business with the new system. To give you a reference point, 71% of our payments now are done by our customers online. They don't have to be taken to the bank via manual check, as they were in the past. Online renewals is another great opportunity that the technology platform has really enabled us to have efficiencies. 60% of our renewals now are actually executed online, where previously they were a manual printout of a physical lease and hand signed. And now it's electronically signed and done through the technology platform. So just a couple of areas of opportunity where we've been able to gain some efficiencies.
Operator: Our next question comes from Karin Ford at KeyBanc Capital Markets.
Karin A. Ford - KeyBanc Capital Markets Inc., Research Division: Thanks for the initial thoughts on the impact of Hurricane Sandy on your portfolio. Can -- is Aimco still self-insured on those types of costs? And -- or is the third-party insurer that would get you down to sort of the net $1 million to $1.5 million?
Ernest M. Freedman: Let me try turn it over, Karin, to Lisa, who's responsible for our insurance and our risk group.
Lisa R. Cohn: Karin, thanks for that question. A portion of our losses are self-insured but not related to Hurricane Sandy. So after deductibles, that will be covered by our third-party carriers.
Karin A. Ford - KeyBanc Capital Markets Inc., Research Division: Okay, great. And second question just relates to the reduction in your expectations for occupancy for the second half of the year that drove your same-store revenue guidance down a little bit. Just talk about what happened there that changed your view on that? Do think you pushed rents too hard? Or was there something that was different than what you expected that drove that occupancy decline?
Keith M. Kimmel: Karin, this is Keith. I'll answer that for you. The variance in our -- in the occupancy is largely attributed to a couple of operational opportunities in Los Angeles and Philadelphia. Particularly, these 2 markets really have not increased on occupancy as quickly as we had anticipated last quarter. And frankly, they're a bit behind from where they were last year. And so both markets, while they were growing, they just didn't grow at a pace that we had anticipated.
Karin A. Ford - KeyBanc Capital Markets Inc., Research Division: Okay. But it's really limited to just those 2 markets? It wasn't a portfolio-wide sequence of events?
Keith M. Kimmel: No, that's correct.
Operator: The next question comes from Ryan Meliker at MLV & Co.
Ryan Meliker - McNicoll, Lewis & Vlak LLC, Research Division: Just a quick question. I was hoping maybe you can help us understand a little bit about your Affordable Same Store NOI growth. Clearly, you put up good numbers, and you're expecting that to continue through the fourth quarter. How have you been able to drive NOI so much stronger than expectations heading into the year in the Affordable portfolio?
Ernest M. Freedman: A couple of things I'll highlight there, this is Ernie, on the Affordable side. One is we've had the best success that we had in the history of the company in pushing occupancy there. It's always been a high-occupancy portfolio for us, running in the high 97% to low 98%. This year we've actually bumped up almost to 99% in occupancy, and we just had a laser focus on that this year by our operations teams with Leeann Morein and Keith Kimmel are really pushing to get that up as high as possible. And secondly, similar too on our Conventional side, we've had similar successes on the expense side that we didn't anticipate at the beginning of the year. At the beginning of the year, across our Conventional portfolio and Affordable, we thought expenses would be going up closer to 2.5%, and our expense experience in the Affordable is similar to our Conventional, where now we think it's going to be a 1% to 1.25% type of increase to expenses. And so it's just having the opportunity to get a little bit more out of occupancy has really led to a stronger year in Affordable than we had projected at the beginning of the year, Ryan.
Ryan Meliker - McNicoll, Lewis & Vlak LLC, Research Division: That's helpful. And then, also, with regards to that, I guess, is the occupancy up so much not only because of the efforts your team's doing but also because you've got more people that fall into the affordable camp than we might have over the past few years, and that creates, I guess, a larger demand pool?
Ernest M. Freedman: Not really so much for our portfolio. Most of our portfolio, Ryan, is tailored to seniors. And so even though that populating -- the baby-boom population is growing. We haven't seen a major shift in demand from that. It's really just being real active with our waiting list, making sure when a unit comes open that we have a fresh waiting list. So we have multiple people who can move in, not potentially 1 or 2 who may have moved to different things. It's just being a little more focused on it and going after that opportunity. So it's not so much a demographic or demand item that has helped us drive that.
Ryan Meliker - McNicoll, Lewis & Vlak LLC, Research Division: Okay. That sounds good. And then just one last follow up. And this is -- I guess, at 99% occupancy and inability to really push rents that much, it's unlikely for us to see this type of revenue growth next year. Is that a safe assumption?
Ernest M. Freedman: We'd like, Keith, to get 101%, but unfortunately we can't rent out the closets and other places in there, so no. What I would say is that we always have opportunity to push rents there from the perspective of what we can get from the various agencies. We get our inflationary increases. So we'll be more challenged. We won't have as much of an uptick from occupancy as well as that -- next year as we've had this year.
Operator: [Operator Instructions] Our next question comes from Dave Bragg of Zelman & Associates.
David Bragg - Zelman & Associates, LLC: Just a question on the comment that Ernie made. You're selling assets below the implied cap rate of the stock, which Ernie said was 6.6%. So what does that tell you? I think that, that's -- the discount has certainly been a focus of yours for some time. But given the recent efforts that you've made on the portfolio and the balance sheet and the continued discount, could you just update us on your plans from here to close that gap?
Terry Considine: Dave, it's Terry. I think our plans are steady as she goes. We've had a successful 2012, and we plan to continue it through the balance of the year and into next year. And so I think next year, you'll see continued same-store net operating income growth. You'll see a continued upgrade in the quality of the portfolio. You'll see a continued delevering of the balance sheet. You'll see a continued simplification of the business. And you'll see continued lower G&A cost. And so I think as we keep working, there has been a transformation in the company. And I think over some time, that will be understood better and appreciated by the market.
Ernest M. Freedman: Dave, I would just add to that, that it also means you'll see more of Terry and Miles and me and other of the senior team. Throughout the year we've been out meeting with folks and talking about this portfolio transformation that has occurred. And we are seeing momentum from the fact that many folks are discussing it, writing about it and/or discussing. We meet with investors talking about, but we just have to continue to point out to folks where the portfolio is today, and it's a much different portfolio than it was many years ago. And so it's on us to continue that communication, and we'll do that, and we'll do it in a couple of weeks in NAREIT and we'll do it at [indiscernible] soon after that and continue to be up with folks to pound the drum about where -- how we think the stock is valued compared to the quality of the portfolio that we currently own. And it's only getting better.
David Bragg - Zelman & Associates, LLC: Can you provide some early -- just a commentary on how you're thinking about asset sales for 2013?
Ernest M. Freedman: A little bit early for us to talk about that. And we gave disposition guidance that we've maintained in terms of what we think will happen with 2012. What we'll do is we'll match up our needs as we talk about, and make sure we have the sales to cover that. When we talk about our needs, we talk about what we think is our best opportunity, we continue to improve the portfolio and grow its value, which is through redevelopment. And so it's to continue to fund that great redevelopment pipeline that we have, and we'll look at our other needs as well. But it would be a little bit early for us, Dave, to provide a range for what we'll be looking to dispose of in 2013.
Operator: The next question comes from Michael Salinsky at RBC Capital Markets.
Michael J. Salinsky - RBC Capital Markets, LLC, Research Division: Just going back to the last question, I know you wouldn't talk about 2013. But can you give us a sense on the fourth quarter? It seems like there's a lot expected in the fourth quarter? Is there any portfolio sales there? And also, just in terms of pricing, are you seeing any changes in the last 90 days in pricing for assets?
Ernest M. Freedman: Michael, let me start, and I'll turn over to John for that. As you can see from what we've done year-to-date, we've had a significant ramp up in the third quarter compared to the first 2 quarters, and what we need to achieve in the fourth quarter isn't too dissimilar from what we sold in the third quarter to get to our disposition guidance for the year. With that, let me turn it over to John to give some more specific details [indiscernible].
John E. Bezzant: Volume and how our transactions piece together, the vast majority of them are single-entity transactions. There will be certain circumstances particularly in the Affordable side, where we deal -- same buyer will buy 2 or 3 properties, generally, in a tight geographic area and of the same product type. But we're doing one-off sales, no portfolio transactions. And our pricing is consistent to what we've seen over the rest of the year.
Michael J. Salinsky - RBC Capital Markets, LLC, Research Division: Okay. The second question is more of a strategy question. You talked about growing the unencumbered base there. Aimco's traditionally been a secured borrower amortizing mortgages. Is that still going to be the case? Or is there a thought process over the next several years to diversify the capital structure a bit more?
Ernest M. Freedman: Mike, good question. We've had that question with regards to the unencumbered pool, and we're not looking to change our strategy. We still want to remain financing our properties at the property level. We do want create the unencumbered pool to provide us a little more financial flexibility and safety. But it's not from a desire to want to change our strategy in terms of how we're employing property debt or any other type of debt at the company.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Terry Considine for any closing remarks.
Terry Considine: Well, thank you very much for your interest in Aimco. We're pleased by our third quarter results. We look forward to a solid fourth quarter and another good year in 2013. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.